Operator: Good morning, ladies and gentlemen. Welcome to the Canfor and Canfor Pulp Third Quarter Analyst Call. A recording and transcript of the call will be available on Canfor's website. During this call, Canfor and Canfor Pulp's Chief Financial Officer will be referring to a slide presentation that is available in the Investor Relations section of the company's website. Also, the companies would like to point out that this call will include forward-looking statements, so please refer to the press releases for the associated risks of such statements. I would now like to turn the meeting over to Mr. Don Kayne, Canfor and Canfor Pulp's Chief Executive Officer. Please go ahead, Mr. Kayne.
Don Kayne: Thanks, operator and good morning, everyone. Thank you for joining the Canfor and Canfor Pulp Q3 2020 results conference call. I'll make a few comments before I turn things over to Alan Nicholl, our Executive Vice President of Canfor Pulp Operations and Chief Financial Officer of Canfor Corporation, as well as Canfor Pulp. Alan will provide a more detailed overview of our performance in Q3. In addition to Alan and I, we are joined by Kevin Pankratz, our Senior Vice President of Sales and Marketing. I would like to start by recognizing the exceptional efforts of our employees to ensure a safe work environment in the midst of a global pandemic; their dedication, their resilience, and their hard work has been very impressive, particularly in view of the challenges people are no doubt facing with the uncertainty and stress of the pandemic on everyone's lives. The final financial results we experienced in Q3 were not what anyone had expected, particularly during the early days of the pandemic. Our industry has become more disciplined, more responsive and more dynamic, and we are well prepared and able to operate efficiently and effectively in this changing and new environment. We do believe that several of the trends we've been -- we've seen emerging during the pandemic are going to be sustainable and will continue to positively impact our industry. Pre-pandemic; for many people, their home was primarily for shelter, for sleeping and eating. Now the home is becoming an office, a school, an entertainment area, and a recreation space. In addition to sleeping and eating, people want their homes to be comfortable and are able to accommodate all of these additional activities. We see evidence of this and in a strong R&R and DIY demand and believe it will continue to evolve and increase in importance. We're also seeing a shift from urban living to suburban and rural living as people buy more spacious single-family homes and a greater flexibility to work-from-home. The strong housing starts are being supported by the low mortgage rates and desire to own a single-family or multi-family low or mid-rise home and increasing trends from urban high-rise condo living to less dense housing, and we see this worldwide. In addition, the age of homes has also increased significantly and have now reached levels not seen since World War II. We were encouraged by the recent U.S. housing data which was led by strong demand for single-family homes, which represented over 78% of the total housing starts in September. Additionally, excuse me -- additionally, both single-family starts and building permits reached highs not seen since 2007. Turning to our markets; our lumber business generated record high adjusted operating income of $387 million and record revenues of $1.3 billion. Record lumber prices, discipline cost management, strong productivity and a return to more normalized operating rates contributed to our lumber segment results. Lumber prices increase rapidly as the quarter progressed driven by unprecedented demand in the repair and remodel and treated lumber segments in North America and Europe, strong U.S. housing starts and low field inventories throughout the supply chain worldwide. Demand from offshore markets was relatively stable during the quarter; however, they have not achieved price levels seen in North America due to the typical lag in pricing these markets typically face. Our outlook for the remainder of 2020 is a continuation of strong markets, although we anticipate lumber prices will correct as they currently are through the fourth quarter due to typical seasonal demand reductions during this period. During the third quarter, Vida completed it's acquisition of three sawmills from Birch Timber; this acquisition further improves our global diversification with approximately 22% of our production capacity now located in Europe. We continue to be very pleased with our acquisition, as well as the escrow [ph] operation in South Carolina. As of today, we have approximately 40% -- 44% of our production in British Columbia, 4% in Alberta, 22% in Europe and 30% in the United States. Results in our pulp business reflect the impact of extensive fiber-related production downtime, combined with weak global pulp markets stemming from the ongoing impact of COVID-19. Following extensive saw mill curtailments early in the second quarter Canfor Pulp took a four-week curtailment at the Intercon and PG Pulp mills during the third quarter, in addition to scheduled maintenance downtime at Northwood and Taylor. As you will have seen in our news releases, we have made the decision to replace the lower furnace for RB5 at Northwood which Alan will discuss further in his comments. Global softwood pulp demand is anticipated to improve slightly through the fourth quarter as markets continued to recover slowly from the economic impact of COVID-19 and elevated inventory levels following the seasonally slower summer months. I would also like to highlight that our 2019 sustainability report was released in September. We are regularly revisiting our corporate strategy and reassessing our sustainability and ESG reporting processes to ensure we are aligned with the best-in-class standards. Sustainability and ESG are a top priority for the executive team, and to demonstrate it's importance, Pat Elliot's role has been expanded to Senior Vice President of Corporate Finance and Sustainability. In addition, this quarter we filled a newly created position of Director of Environment and Sustainability, which is responsible for the development and advancement of our comprehensive sustainability strategy. As we look forward to 2021, we will continue to focus on improving our balance sheet, deploying capital internally that targets rapid payback and high return projects, and consider external acquisitions that will improve our global diversification. I will now turn it over to Alan to provide an overview of our financial results.
Alan Nicholl: Thank you, Don, and good morning, everyone. The Canfor and Canfor Pulp quarterly results were released yesterday afternoon and come together with our overview slide presentation in the Investor Relations section of the respective company's websites. In my comments this morning I'll briefly speak to quarterly financial highlights, a brief summary of which is included in our overview slide presentation. Our lumber segment reported operating income of $337 million for the third quarter compared to $107 million for the previous quarter. After adjusting for [indiscernible] expense of $51 million, the lumber segment generated operating income of $387 million, up $327 billion from the previous quarter. A record high lumber business results reflected an unprecedented increase in North American lumber pricing as the quarter progressed with a significant surge in demand outpacing available supply following widespread industry curtailments earlier in the year. As a result, the unit sales realizations in North America saw substantial increases in the quarter. In Europe, unit sales realizations benefited from stronger demand, a favorable geographic sales mix, as well as a 5% weaker Canadian dollar. With both -- most business in Europe based on pricing negotiated quarterly in advance, European prices are projected to show solid increases through the fourth quarter of 2020. Notwithstanding seasonal downtime, the company's European lumber operations overhaul lumber unit manufacturing costs benefited from stable log costs and a 36% increase in production through the quarter, with substantially all mills operating at full capacity following the COVID-19 related production curtailments taken in the earlier part of second quarter. In addition, lumber production reflected Vida's September 1 acquisition of Birch Timber. Our pulp business reported an operating loss of $28 million in the third quarter compared to an operating loss of $6 million reported for the previous quarter. Results for the current quarter reflected weak global pulp market conditions, significant fiber-related downtime, as well as a previously deferred scheduled maintenance outage at Northwood; these factors being related to the ongoing impact of COVID-19. Pulp production was down 13% in the quarter, largely reflecting a four-week curtailment of the Intercon and PG Pulp mills, as well as the scheduled maintenance downtime at Northwood and Taylor's annual maintenance as well. Pulp unit manufacturing costs were moderately higher than the previous quarter, principally reflecting the aforementioned lower production. During Northwood scheduled outage, the mills recovery boiler number one was found to be in stable condition and maintenance was completed in one production line in early October. Regarding Northwood's recovery boiler number five previously announced capital upgrades to the upper furnace are progressing well. Earlier this week, management made the decision to extend the outage on RB5 to enable the replacement of the lower furnace at an estimated cost of the $30 million. This work will be undertaken in the fourth quarter and this is anticipated to result in approximately 60,000 to 70,000 tons of reduced pulp. In conjunction with the upper furnace project, this lower furnace upgrade will ensure the RB size continued operation for another 15 to 20 years. In light of the assessments made by management with regards to RB1 and RB5, the previously considered option of a super recovery boiler at an estimated cost of $400 million, will now not be required. At the end of the third quarter, Canfor, excluding Canfor Pulp, had net debt of $506 million, with a saleable liquidity of approximately $1 billion. After taking account of Vida's acquisition of Berg's, liquidity improved by approximately $345 million during the quarter, reflecting significant cash earnings combined with favorable working capital movements. As of September 30, Canfor had paid cumulative cash yearly deposits of approximately $550 million, and is currently anticipating a material reduction of approximately 15% in the company's cash yearly deposit rate towards the end of the fourth quarter, upon finalization of the rates of the first period of review. Canfor Pulp ended the third quarter with net debt of $19 million and the available liquidity of approximately $130 million. Excluding capitalized major maintenance, we currently anticipate 2020 capital spending of approximately $125 million in the lumber segment, and approximately $75 million for Canfor Pulp, including the RB5 work currently being undertaken. With regard to 2021, we're currently anticipating capital spending of approximately $200 million for lumber, and approximately $60 million for Pulp. And with that, Donald, I turn the call back to you.
Don Kayne: Thanks, Alan. So operator will now take questions from analysts.
Operator: Thank you. We'll now take questions from financial analysts. [Operator Instructions] The first question is from Sean Steuart from TD Securities. Sean, please go ahead.
Sean Steuart: Thanks. Good morning, everyone. A couple of questions, first for Don or Kevin. A little more context on the current lumber price correction we're seeing in North America. And I guess specifically, you mentioned some seasonal elements to it, but can you speak to which end markets you've seen some relative weakness? Or I guess at least a deceleration and growth over the last five weeks, or so?
Don Kayne: For sure, Sean, maybe Kevin, why don't you give Sean an update on that? I know you're doing a lot of work around that.
Kevin Pankratz: Sure. Good morning, Sean. The price decline that we've seen with this was pretty much anticipated and largely due to seasonality. We are off some of the peak demand items, like in the R&R segment, which were pretty significant that we saw in the summer and in June. So we did have seen a little bit reduced demand there. And then quite frankly, the inventories have gradually started to rebuild into the system, but are still quite lean. And so, we're just in that balance that we're seeing now.
Sean Steuart: Okay, thanks for that detail. And then a question on Europe, specifically, probably flies under the radar a little bit, but we were impressed by the margin expansion this quarter. Price realizations were up a little bit. And first part of the question is how much of that is attributable to moving incremental volume into North America? And then, we saw an apparent reduction in unit cost this quarter. Any details you can give us with respect to factors that contributed to that trend, as well?
Don Kayne: First of all, in the market or on the mildness [ph] like you've talked about, they're a bit, Sean. I mean, yes, they were up for sure; not to the degree that you would have expected or not expected but we've seen in North America for sure, just because -- and I know you're aware of this, but in terms of the lag that we see typically in Europe, but some of the real benefits of some of the increases that we're seeing in North America, but also in Europe as well, to the to a similar extent actually. We will see a lot more inflation there on market prices here as we go into Q4, because of business is always lagging for sure. And then, on the cost side, even with a reduction in production in July, due to the fact that we this week would take three weeks of downtime, they're roughly. We took an extra week this year; I think we took in some mills at least four weeks instead of three, which is unusual. But at the time, we thought that was prudent just based on the where things were going. But clearly, as you look forward into August and September, they made some perfect progress there for sure on conversion costs and overall costs along the way. Alan, is there anything you want to add to that?
Alan Nicholl: Good point. I think the only other thing to add is that the other business units that are part of Vida were operating at lower rates during the period. So that was another factor that would explain the lower unit costs.
Sean Steuart: Thanks for that, Alan. I'll get back into cue, Thanks very much.
Operator: Your next question comes from Hamir Patel from CIBC Capital. Hamir, please go ahead.
Hamir Patel: Hi, good morning. Don, I saw some slides from a presentation you may have done earlier in the month talking about markets. And I noticed you highlighted a potential to redefine the North American pricing model. I'm wondering if you could speak more to what you think the opportunity there is maybe move away from Random Lengths week-to-week pricing with at least some your customers.
Don Kayne: Kevin has been doing a ton of work on that. But just at a real high level, we'd see this as a real opportunity. If you look at what's going on in Europe for a long time, and we've always been watching that. And it's one of the reasons of many that we were interested in Europe moving forward. But you also in Asia too, more sustainable, more predictable, more pricing, those that you can count on for the future at profitable levels, and so we've been interested in that for a long time, it's probably stabilized earnings, and how can we get away as much as we can from formula pricing based on Random Lengths or Random Lengths itself. And so, Kevin and his guys, and he'll give you some detail on aperture because he's got some examples, but clearly, we see that as a big opportunity. I think what's really maybe accelerated some of our customer's views on moving to that type of model to in North America, which has been encouraging, is they're looking at their policy procurement strategies themselves. And they're now for the first time in some cases, starting to recognize it. Honestly, if you really look at it, as we look forward here, we need to improve some of the communication and partnerships that we have with our suppliers, and more be focused on to stabilized pricing and demand and supply themselves, as well. So we're seeing a lot more cooperation than we've ever seen. Kevin, you can maybe give them a little bit of detail where you're working on.
Kevin Pankratz: Totally. Hamir, during this huge run up that we saw in W3, the conversation was less about price and more about availability, just because they did not have the wood to complete jobs and projects. So we definitely saw a change in behavior with certain segments. I can speak to like the trust guys, the MSR, like where they want to walk into more longer monthly or longer type pricing arrangements. We've done a bit of that, we've done business with other statements via treaty [ph]. Even our European Swedish volume coming into the U.S., we've entered into some longer term agreement; it's a bit of a newer concept for some of the folks but it's definitely more part of the conversation than it was, say, two years ago. So it's just some small examples of what we're seeing.
Don Kayne: There's no doubt that some of the key segments that we deal with were hurt pretty bad here with lack of supply during a critical period here. And while we spent -- Kevin and our marketing group spent a ton of effort here to try to do all we could do to make sure our key strategic customers were in stock as best we could handle through that period. But that's really, like I said at the start, really accelerated how they're rethinking about their procurement policy.
Hamir Patel: That's really helpful. And Don, maybe for next year, do you have a sense then as to maybe what percent of your North American volumes might have shifted, or are going to shift to more of a longer-term pricing terms?
Don Kayne: Kevin, why don't you give an order of magnitude there?
Kevin Pankratz : We're just in the early stages on that. Are you talking about the longer term pricing, Hamir?
Hamir Patel: Yes, yes.
Kevin Pankratz : We probably could be into that 15% to 20% range, as a start.
Hamir Patel: Okay, great. That's very helpful. And just a final question for me. Don, I was curious to get your thoughts on, if we see a new administration in the US next year that maybe wants to make the WTO work. What do you think that could mean for the soft lumber dispute?
Don Kayne: It's good question. I think, Hamir, our view now -- and I've talked to a lot of stakeholders in the US side about that, too, and where we are and where we think we might be going here. But I think, personally, I think that we're always away here from any kind of resolution, no matter what is running in the background here. I think there's so much at this stage, in particular, with COVID, with some of the geopolitical issues that we're all aware of worldwide and so forth, that our view and certainly the US Coalition's view is that this is a couple of years away -- a couple of years away from any kind of resolution, probably at this stage. Now, you know, that could change but certainly it's not on the radar screen [indiscernible] -- the key coalition guys from certainly that I've heard. Of course, we ourselves, as an industry in Canada, have had a few false starts over the last two or three years. And we typically get into a situation, Hamir, where we seem to be negotiating with ourselves, and we're not prepared to do that anymore. I mean, we think we're in a good position, we know that we're even more, we've always been 100% confident with it. We're solid here even more so now. And so we will probably -- but like I said, it'll take, we think, there's going to be a couple of years away. There's no incentive. There's no real -- nothing being done right now bottom line.
Hamir Patel: Fair enough. Thanks, Don. That's all I had, I'll turn it over.
Operator: Your next question comes from Paul Quinn, from RBC Capital Markets. Paul, please go ahead.
Paul Quinn: Thanks very much. Recently, with the lag in lumber prices on the way up in North America, and I suspect Q4 should be pretty good for you, even with prices coming down, but just want to try to understand, what do you expect in Asia? The commentary says, expecting higher pricing, but it's not going to be anywhere near that rise that we saw from Q2 to Q3, right?
Kevin Pankratz : Paul, maybe I'll just break out agents a little bit there first. So China, I would expect, we have already seen some modest price increases there throughout the month, because we sell on a monthly to bi-monthly basis over there. And our indications are that we'll see some modest price increases, nowhere near what we saw in the US, and still a ways to go. But I think the more material increases what we saw was in Japan, it was quite significant. And we expect that trend to potentially continue into Q1.
Paul Quinn: Okay, great. And then, looking at your net debt, you get a little bit over $300 million here, my model is predicting debt free by mid-2021 here given our forecast, but what is your priority for capital allocation at this point?
Don Kayne: I think, for sure Paul, for starters, we've been a good few months here and got us in pretty solid position, as you mentioned there, compared to what we certainly expected going into this year, and even towards the end of the first quarter. But those turned out a lot more positive. But we always have in the back of our minds where we were six months ago, too, but regardless, our number one priority will continue to be, as has always been, to make sure that the existing mills that we have are capitalized to the extent they need to be, to keep up the level of efficiency that we think we need to have in all areas that we operate at. So that we know what we're going to be, at least from that point of view, be competitive. For starters, number one. Number two will be organic capital. And we've had a fairly aggressive organic capital plan the last several years here in the south. And that's still underway and still moving along well. So we'll continue to look next step by additional organic opportunities. And there are some there's one or two that we're looking at in Sweden, of course, and there's one or two high return projects that we're looking at, as well, potentially here in the US. And no doubt they'll probably be a summit, one or two also in British Columbia. So that's second, really. And then that last one, of course is M&A opportunities; and I think on that I would just say that we're getting lots of interest with lots of folks that -- typically in these good markets you get a lot of the ones that -- who are operators that are willing -- would like to sell and capitalize on and that's good and we're not impressed with the course [ph], and/or else are very high multiples on them as well at this time. So, our -- right now, we're looking of course, we will continue to keep our eyes open particularly in Europe and in the U.S. but at this stage there is nothing pending. And certainly, if there is -- opportunities arise, we'll look at them. But right now, we're going to continue to improve our balance sheet and really be focused hard on discipline around that. And see how the early part of next year, how that looks and what the trend starting to look like going forward.
Paul Quinn: Okay, and then maybe just a follow up on that, you went a little bit over 50% of Canfor Pulp, does that go against the Canfor diversification strategy if you were to acquire any more of that?
Don Kayne: Not really. From our standpoint, and I mean, you are probably tired of hearing me say the same thing. But I'll say it again anyway, the ownership that we have in Canfor Pulp, we like that diversification that we have with the Pulp businesses, linked in pretty good for business, for sure. And, we also like the ownership position that we're in currently. And we have no plans to change that. We're at this stage anyway, we're currently happy with the way that at production [ph] right now.
Paul Quinn: Okay. And then just last question. The recovery boiler number five there at Northwood, that $30 million fix, that's 15 to 20 year extension, do you got a guarantee on that? And where does that come from?
Alan Nicholl: I think that might be overstating it, Paul, that is reflective of management's best estimates working, obviously with a number of experts in the field. But the sense is that by doing these extensive replacements, if you will, and upgrades in the upper part of the furnace, we're really repurposing that RB5 and there's a real sense of quiet confidence here that we're going to be able to put behind some of the some of the issues that we faced over the last couple of years. 
Paul Quinn: All right. Thanks very much. Great quarter. Good luck.
Operator: Your next question comes from Mark Wilde from Bank of Montreal. Mark, please go ahead. 
Mark Wilde: Thanks. Congratulations on a very good quarter. I think all of this is really caught all of us off guard. I wonder, going back to Paul's capital allocation question. One of the other options would be to buy back some stock. And I'm not suggesting you go whole hog on this, but the stock is more than 40% below where you were buying two years ago. And the implied value of the company right now is a lot lower on a per unit of capacity base than a lot of the acquisitions that you've done, so why not have an element of share repurchase in the capital allocation strategy?
Don Kayne: Thanks, Mark. And it's a good question. I probably should have mentioned that too, when I did talk to Paul's question, but I mean, it's certainly something that we have on the list, it's just not a priority for us at this stage. We've always -- and we're going to continue down this road. And I'll let Alan comment further maybe on some specifics, but number one, and especially in our industry, and with technology changing at the level and the rates that they are, we need to continue to make sure, first and foremost, that our mills are competitive and efficient to the degree they need to be on a worldwide basis, because it's even more pressure now than it used to be on that, because everyone around the world we're competing with, and they're all focused. So that's the first thing. And then in terms of organic capital, and de-risking capital that we do spend, in terms of increasing production, at least in the right areas, and the right products and so forth. That's clearly an area that we feel has got the least amount of risk for sure, going forward. We've been pretty successful at it. So we certainly think that's a high priority, we're going to continue to do that. And then of course, M&A, and as I mentioned too. So, on the list would be that, Alan, maybe you can give Mark a little more detail, because I know you and your group in past benefitted at a time trying to prioritize in the right order and so forth.
Alan Nicholl: I think Don said it well, Mark, today we're clearly seeing the benefits of diversification. And that's what Don sidelined clearly backs that up. And it's not to say that share buyback is off the radar screen, but clearly it is on the list, but it is something that we will revisit from time to time. I would also add that, clearly if you go back six months, thing have changed radically from that time and so there's so much volatility, so much uncertainty, so we do have a more conservative stance generally, but given another few quarters and clearly, we're looking at our options more closely including share buybacks, but it's further down the list.
Mark Wilde: Yes, just to be clear on that. I mean I'm not suggesting that you go whole hog on this; I think it's smart to continue to invest in productivity. Just when you look at the history of the industry and things like share repurchases, they have often been time really poorly, and we've got kind of a situation in the market right now where your prospects actually look pretty good to a lot of us and your shares don't reflect that. So it just seems to me, there is an opportunity to put some element of your cash flow to work on the repurchase. So, my two cents worth. The other thing -- another thing I want to follow-up on; just the boiler rebuild at Northwood. Can you just give us a little more of a sense of what went into this? Because it seems like based on the availed avoided capital here of that super boiler, this almost looks like a no-brainer. What else might have been involved with the equation here that we're not thinking about?
Don Kayne: Go ahead, Alan.
Alan Nicholl: Yes, I don't think there is too much that they are not thinking about, Mark. I mean, I think -- you know, if you go back here two months ago, certainly the options that we were looking at included a new -- a brand new recovery boiler and replacing the two that we have there currently or repurposing the other two overtime. Clearly at the time, pulp marked additions were significantly more favorable as well; so that was one of the reasons we were looking at both those options I think it's fair to say when we've actually looked at this, and we've got a new VP of Pulp as well, that's really bringing some fresh perspective to this as well. We've recognized that we are better served by repurposing RB5 as a sideline, and also continuing just to monitor and -- and for regular repair, if you will, for RB5. But we're encouraged by higher RB5 -- RB1 so I should say, RB1 is looking. And I think as I said earlier, by doing what we're planning to do in RB5, we think we find a less expensive solution but one that also provides us with the assurance around operation that we've been looking for. Clearly, we don't get -- sorry, I should say clearly, one doesn't get all of the productivity and efficiency benefits that one might get with a brand new order but those are more than offset by the factors I mentioned.
Mark Wilde: Okay, all right. And just also related to pulp, Alan; can you talk about the adequacy of fiber for the four pulp mills going forward?
Alan Nicholl: No, for sure, I think we've had to do some -- have to take some fairly significant courses of actions, as I outlined. But we are in a very good position from a fiber perspective right now. Mark, we feel that we're well served for a good while here, and certainly in a way issue is getting through the winter and through the first part of next year. And so we will continue to work hard to make sure that our fiber situation is positive. Clearly, we're motivated to drive our costs of follow-up chips done, and to find as much as normal residual chips as we can. And clearly, we're benefiting on the latter from the full operating rates of the sawmills as well.
Mark Wilde: Okay. And then, that -- I don't think you answered the question about Vida shipments into North America. And what those were in the third quarter? And what we should expect going forward? I think when you bought Vida, you talked about maybe 200 million to 300 million board feet, some 200 million board feet coming into the North American market from Vida going forward?
Don Kayne: Kevin, would you have the numbers [ph]?
Kevin Pankratz: Yes. I mean, we were up probably about 3% or 4% or 5% there, Mark. And then, quite frankly, I think looking at Q4 there is still significant demand and inventory shortages in Europe, but this UK and the European markets that are Vida focused. So I think it will be somewhat stable, consistent going forward, but it definitely wasn't increased participating in those high demand and high priced markets that we saw in Q3. But I do see, for us anyway, a little bit of maybe repatriation back but not to a significant degree, but we were up in Q3.
Mark Wilde: Okay. And the last one for me. Don, I wondered if you might just talk a little bit about the acquisition by [indiscernible] down in Florida. If you look at that company, it seems like a very innovative company over in Austria, does a lot of stuff I think also with kind of mass timber construction. So just -- implications of them moving into the North American market at the same time that you're moving over into the European market?
Don Kayne: Yes. I mean, to me, I know those guys well and the fellow that's leading that there now; he was a big part of Klausner for many, many, many years. So he -- and he was one of the guys that initially -- I'm just going back to several years, 15 years or more even, responsible for bringing Klausner -- Fritz Klausner, when he went into the North American market into that market here. And so he's -- well, he's -- and he's lived here, he moved from Austria and moved into North Americans and has lived here for 10 or 15 years now. So he's well aware of the North American market, he's got good contacts in North America and so forth. So it didn't -- you know, to me, if you're that particular company, and there is an opportunity there, the guy that they have on the ground that they -- is really their President in North America got lots of experience in North America, rare for Europeans to have that. And I think he is probably the guy that convinced them to do it. And so they -- and really, for us, it really doesn't impact us too much. I mean, I think what you're going to see from them is much more focused on more commodity type rage there. And I don't -- and I know that we -- I think we all do; the log quality in that particular area isn't a significant advantage, just more directed to the commodity type products. And so that's fine because we're not interested in that market ourselves, right, as you know, and we've talked about lots and -- and so we're -- we just look at it, it will be -- probably a bit more commodity -- on commodity 2/4 [ph] and wider on the market but we don't see it as a big issue for ourselves, either in sourcing logs and causing an inflation that we don't expect or increased competition for products that we're manufacturing already ourselves. So we're -- it's kind of a non-event, frankly.
Mark Wilde: Okay, thanks. I'll turn it over. Thanks, guys.
Don Kayne: All right, thanks. Thanks, Mark. Good to talk to you.
Operator: And we have one more question from Hamir Patel from CIBC Capital Markets. Hamir, please go ahead.
Hamir Patel: Thanks. I just had one follow-up. You disclosed the sale of the Polar Board OSB plant. Is that -- was that sold still as a functioning OSB press? And is it expected to produce OSB in the future?
Don Kayne: Yes. I guess just on that OSB plant; if -- we're not -- it's not going to be a reschedule, we won't see additional production of OSB from that plant in British Columbia; it will be repurposed elsewhere here. And so -- and when and to what extent; I have no idea at this stage what that might be, Hamir.
Hamir Patel: Okay. Thanks, Don. That's all I had.
Don Kayne: Good. All right. Thanks, Hamir.
Operator: There are no further questions at this time. Please proceed.
Don Kayne: All right. Thanks, operator. And thanks, everyone for joining the call this morning. We appreciate all your support and we look forward to talking to you early in the New Year. Thank you very much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and ask that you please disconnect your lines.